Operator: Greetings. Welcome to the NeoGenomics Third Quarter 2023 Earnings Call -- Third Quarter 2023 Financial Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. Please note this call is being recorded, and an audio replay will be available on the company's website. Kendra Sweeney, Vice President of Investor Relations, you may begin your conference.
Kendra Sweeney: Thank you, John. Good afternoon, everyone, and welcome to the NeoGenomics third quarter financial results call. With me today to discuss the results are Chris Smith, Chief Executive Officer, and Jeff Sherman, Chief Financial Officer. Additional members of the management team are available for Q&A including Vishal Sikri, President of Advanced Diagnostics; Warren Stone, President of Clinical Services; and Melody Harris, President of Enterprise Operations. This call is being simultaneously webcast. We will be referring to a slide presentation that has been posted to the Investors tab on our website at ir.neogenomics.com. Starting on Slide 2, during this call, we'll be making forward-looking statements regarding our anticipated future performance. We caution you that such statements reflect our best judgment based on factors currently known to us, and that actual events, or results could differ materially. Please refer to our most recent forms 10-K, 10-Q, and 8-K we filed with the SEC, to identify important risks and other factors that may cause our actual results to differ materially from the forward-looking statements. The forward-looking statements made during this call speak only as of the original date of the call, and we undertake no obligation to update or revise any of these statements. During this call, in order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. The non-GAAP financial measures presented should not be considered an alternative to the financial measures required by GAAP, should not be considered measures of liquidity, and are unlikely to be comparable to non-GAAP financial measures provided by other company. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table available in the press release we issued this afternoon. I will now turn the call over to Chris Smith, Chief Executive Officer of NeoGenomics.
Chris Smith: Thanks, Kendra, and welcome, everyone. Thanks for joining us this afternoon to go through our third quarter financial results. As always, I want to begin with our mission, our vision statement because it’s what motivates our company and teammates on a daily basis. Our mission at Neo is to save lives by improving patient care. Before we dive in, I also want to thank the 2,200 team mates for the impact they are making on patients' lives every single day. Now, let's move to Slide 4 and get into the third quarter highlights. As you can see, we had another very strong quarter growing revenue 18% over prior year. Clinical Services revenue increased 20%, driven by strong volumes across our modalities, and an increase in revenue per test. As a highlight, NGS grew in excess of 35%, and now represents approximately 25% of our total clinical revenue. Advanced Diagnostics revenue, which includes pharma services and informatics, increased 8% from prior year, driven by continued growth in informatics in ramp and RaDaR. As we continue to execute on the transformation of the business, our progress has outpaced our internal plans. We started the year with the outlook that we would be adjusted positive in the fourth quarter. However, in the third quarter, adjusted EBITDA significantly improved 129% as compared to Q3 of last year, to a positive $3 million. Adjusted gross profit was $67 million, representing a 25% increase over the prior year, or 44%. For the 10th consecutive quarter, we saw an increase in revenue per test versus prior year. NGS growth continues to be a driver of improvements in revenue per test, and is growing well above the estimated market growth. In addition, revenue cycle management, and pricing initiatives also are contributing to revenue growth per test. In terms of other key quarterly business updates, we completed three submissions to MolDX including one additional breast application, as well as two new indications, one in lung, and one in head and neck. Slide 5 demonstrates the consistent performance with third quarter delivering sustained improvement in revenue, gross margin, and adjusted EBITDA. We are proud of this year-over-year accelerated growth because it's a direct result of the strong execution by our Neo teammates, and the growing demand for our products from existing clients, as well as new customers. Our operating and revenue cycle initiatives implemented in the second half of 2022 continue to enable accelerated growth, and we believe they have the ability to continue to drive improvement in the business, through the end of the year and beyond. Let's move on to Slide 6. We've kept the narrow focus on our strategic priorities laid out at the beginning of the year, profitably grow the core business, accelerate Advanced Diagnostics, drive value creation, and enhance people and culture. Our Neo teammates are the foundation of the company, and continuing to enhance this team, and our strong mission-driven culture is critical to our long-term success. This afternoon, I'm going to focus on our other financial priorities. We continue to profitably grow our core clinical business as we execute our commercial strategy, which is protect, expand, and acquire. This has helped us deliver strong volume and improved mix. Our continued improvement in turnaround time has allowed all modalities grow faster than the market. In addition, the mix shift towards more comprehensive panels has supported the delivery of yet another quarterly improvement in revenue per test. Clinical adjusted gross profit increased to $13 million or 28% versus the prior year. Our newest NGS CTP panel for heme malignancies, Neo Comprehensive - Heme, was launched a few weeks ago and strengthens our leadership position in the heme oncology services. We also launched a therapy selection panel, providing comprehensive overview of biomarkers for detecting early stage lung cancer. Finally, we continued our sales force expansion that we disclosed in Q2. Within Advanced Diagnostics division, which includes pharma services, informatics, and R&D, we continue to focus on innovation. As mentioned, during the third quarter we submitted three RaDaR applications to MolDX, collectively now have 27 studies in progress utilizing RaDaR technology. Some of these are interventional trials, including Meridian in head and neck, CAN, HER2 (ph) in breast and a randomized ctDNA lung trial. In December, additional RaDaR breast cancer data will be presented at the San Antonio Breast Cancer Symposium, and we also have three posters featuring other Neo - Heme modalities accepted at ASH. We hired a new Head of R&D, who will implement a new structure, focus on accelerating new product development, and driving innovation that will benefit with our clinical and our pharma customers. While it's still early days with RaDaR, we are very pleased that our technologies is vesting (ph) low positive clinical samples, highlighting the value of sensitivity for RaDaR. We are focused on driving value creation from a financial perspective, and are pleased that we've delivered even further margin expansion from Q2, and have generated significant operating leverage as revenue favorability fell through to the bottom line. As we continue to optimize our lab operation, we achieved approximately a 20% improvement in turnaround time over Q2. Because of several key acquisitions over the last five years, we've been operating under multiple LIMS systems. To further enhance operating efficiencies, we launched a key initiative to move the organization to one LIMS system. This project will provide a new system, which will become the backbone of digitization of our labs, allowing for tighter integration between our CRM system, ordering systems, and ERP back end, and allow increase efficiency across our entire enterprise. We'll start to see the benefits in 2024. To further reduce costs, and improve margins, we've completed the consolidation our international labs into one lab in Cambridge, UK, and have improved processes on procurement and supply chain. We expect to see these benefits continue in 2024 and beyond. Before I turn the call over to Jeff, I want to take a minute to address the FDA's proposed unilateral regulation of lab-developed tests as medical devices. Given the substance of the proposed rule is in draft form, the agency has request public comments on the topics, that includes grandfathering. It is important to note that many instances around this topic are still hypothetical. That being said, Neo has a strong history of complying with CAP and CLIA regulatory standards, and we have also been working with MolDX on coverage termination. We believe these factors, taken together, give us a head start over many other reference labs and providers performing similar testing. We have operated our business in preparation for regulations for some time now, and have executives and teams in place, who have experience with the FDA approval process including quality, regulatory, and R&D. Furthermore, our assay development over the last 12 months to 18 months has been incorporating FDA design control, and preparation for future submissions. As a member of ACLA, we will work with the association to ensure the continuation of patient care with limited business impact. Now, let me turn the call over to Jeff to review our financial results in more detail. Jeff?
Jeff Sherman: Thanks, Chris, and good afternoon, everyone. I'll begin with a little more detail on our operating results for the quarter. As Chris said, we continued the year with revenue experiencing accelerated double-digit growth over prior year. Third quarter revenue was $152 million, an 18% increase over the prior year and a 3.4% increase from Q2 of '23. Revenue growth was driven by growth in clinical test volume, a continuing shift to higher complexity tests, and improvement in revenue per test driven by business mix and revenue cycle improvements. Adjusted EBITDA improved 129% from prior year to a positive $3 million. Q3 marks the fourth consecutive quarter that adjusted EBITDA increased from prior year. We generated significant operating leverage as revenue favorability fell through to the bottom line, with over 60% of revenue growth flowing to adjusted EBITDA. Looking at Slide 8, Clinical Services revenue of $128 million was an increase of 20% year-over-year, driven by a 7% increase in volume, and a 12% increase in revenue per test. Higher volume is driven by growth within our existing client base, as well as newly acquired customers, and demonstrates that our sales force optimization strategy is enabling us to reach the oncologists, pathologists, and other physicians and providers we serve. Turning to Slide 9, average revenue per clinical test increased by 12% over prior year to $440, representing an improvement for the 10th consecutive quarter versus prior year, as we maintain our focus on higher value test, and revenue cycle management initiatives. As we've previously noted, NGS growth is a focus of our sales team, with NGS revenue approaching approximately 25% of our total clinical revenue for the year. As a result of our strong performance in NGS, and the expansion in our sales team, we continue to see accelerated growth in NGS. On Slide 10, as we noted on our Q2 call, Advanced Diagnostics revenue growth slowed in Q3, with an increase of 8% versus prior year. ADx revenue grew slower in the third quarter due to macroeconomic conditions, and pharma R&D spend, as well as our decision to rationalize our global testing sites and low margin business. This is expected to continue into the fourth quarter and early 2024. However, the focus on profitability and margin growth is driving performance with adjusted gross profit for ADx improving by $6.4 million, or 32%, and adjusted gross margins improving by 440 basis points on year-to-date basis versus prior year. Looking at the income statement on Slide 11, adjusted gross margin was 44.2%, an improvement of 247 basis points over the third quarter of last year. Adjusted EBITDA was positive $3 million, up $15 million, or 129% improvement over the third quarter of 2022. These significant improvements were driven by both higher gross profit, and lower operating expenses, and highlight the operating leverage in the business. Regarding operating expenses, sales and marketing expense was $17.6 million as we continue to invest in the expansion of our sales force. G&A was $61.5 million and R&D expense was $5.3 million. We did have a favorable R&D tax credit related to fiscal year 2022, of $1 million in the quarter. In addition, there was $2.1 million in restructuring costs in the quarter, related to the previously announced organizational restructuring, and footprint optimization, which is part of our value capture program to gain operating leverage. We have revised our original restructuring plan cost and timing of projects, and as a result, now anticipate these costs extending into 2024. These charges will ultimately result in enhanced operational efficiencies, as we continue to optimize our geographic presence. Turning to the balance sheet on Slide 12, we ended the third quarter with cash and marketable securities of $402 million. We continue to make good progress in diligently managing our cash burn, and are focused on accountability and disciplined oversight of operating expenses. Cash flow from operations improved $11 million or 66% from Q3 2022. On a year-to-date basis, cash flow from operations improved by $43 million or 68%, and the year-to-date cash burn improved by $36 million or 50% over the first nine months of 2022. Our strong financial position provides us the financial flexibility to continue to invest in the business, and achieve our strategic and financial objectives. Given our Q3 financial performance, and continued progress executing on our strategic priorities, we are revising our revenue and adjusted EBITDA guidance for the year. Turning to Slide 14, we previously had revenues of $565 million to $575 million, representing 11% to 13% growth in 2023. We are revising that range upward, and now expect total revenue between $585 million and $592 million for the year, representing 15% to 16% growth. Adjusted EBITDA was negative $13 million to negative $10 million, and is now negative $4 million to negative $1 million, and at the midpoint represents an improvement of $46 million or 95% from year-end 2022. We continue to see strong revenue growth, and an increase in NGS product mix, and are very encouraged by the opportunities for RaDaR, and other newly launched tests, which provide accelerated leverage to the bottom line. As we stated at the beginning of the year, our year-over-year comparisons will be more difficult in the fourth quarter, but we believe we have a strong foundation, and dedicated teammates, to deliver financial results. While we continue to be focused on driving operational efficiencies, we will also continue to invest in the business to capitalize on our future growth opportunities. Our strategic focus remains to deliver long-term sustainable growth. With that, I'll turn it back over to Chris.
Chris Smith: Thanks, Jeff. As you can see, we're very pleased with our year-over-year progress, including strong revenue growth of 18% and significant improvement in adjusted EBITDA. We now have three pending submissions for RaDaR with MolDX, and we're generating additional data that will support expanded coverage in the future. We saw meaningful progress in the execution of our strategic priorities, and therefore are raising our guidance for the full year results. We are well on our way to becoming the leading cancer testing information decision support company. We'll continue to build on the foundation we have laid out over the past several quarters to deliver long-term sustainable growth. I'm excited for our teammates and our customers, but for most of all, the patients that we get to serve on a daily basis. Thanks, and we'll turn it back over the operator to open the call up for questions.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] First question comes from Mark Massaro with BTIT [ph]. Please proceed.
Chris Smith: Hey, Mark.
Vidyun Bais: Hey, guys. This is -- hey, this is, Vidyun on for Mark. Thanks for taking the questions and congrats on the strong quarter. So, I'm just wondering what key data points should we be keeping an eye out for on RaDaR out of the '27 clinical trials? Specifically, when might be -- when might we be able to see a head-to-head comparison with a competitor MRD test? Thanks.
Chris Smith: Yeah. Why don't I let Vishal take that. He can talk a little bit about some of those key trials that we've got ongoing.
Vishal Sikri: So, one of the trials will have some initial data coming out at San Antonio, which is the TRACER clinical trial. The other ones, we'll see data readouts throughout the year in 2024. In terms of head-to-head, that's still something that we are considering. It's not something that is a main focus for us. Our focus is developing our own clinical data, to get published and also to get MolDx approval.
Vidyun Bais: Okay. Perfect. Yeah. And then, what levers could be pulled from here, with respect to operating leverage and OpEx management? Should we think about most of the improvement from here to be a dropdown on revenue growth, and what are some areas you might be looking to optimize from here on, taking out any additional cost, if any?
Chris Smith: Yeah. I think as we've said in previous quarters, I think, from an operating leverage standpoint, we continue to see a lot of different opportunities that continue drive results. We've seen good progress on the volume front this year, and continue to see opportunities to drive volume growth. We've seen good growth in pricing as we focus our attention on a higher complexity test. We've talked about NGS growth. It represents only about 25% of our total clinical revenue today, and it's growing faster -- much faster than the overall market growth. So, that area is going to drive performance as well. We continue to see opportunities to grow the ADx, business and we've talked about a few things for the margin perspective. Implementing a new LIMS system is going to help us be more efficient to drive more improvement on the adjusted gross margin line, better procurement, and systematic buying will also help us drive performance there. And then below the line on the OpEx side, we're continuing to look for opportunities to get more efficient there as well. You see our year-to-year OpEx expense is down year-to-year, both in the quarter, and on a year-to-date basis, and that's before even taking into account, restructuring costs that we're hitting this year. So, I think as we think about our drivers, we see a lot of opportunity to continue to do what we've done this year, and we'll talk more about 2024 when we give our Q4 guidance in February, but we still see a lot of runway to drive improved performance.
Vishal Sikri: Thanks.
Chris Smith: John, can we move to next question.
Operator: Absolutely. The next question comes from Andrew Brackman with William Blair. Please proceed.
Chris Smith: Hey, Andrew.
Andrew Brackman: Hi, guys. Good afternoon. Hey, Chris. How are you doing? Thanks for taking the questions. Maybe if I could start on the durability of growth for that revenue per test metric, can you maybe just sort of talk about how you're thinking about some of those drivers, or sort of some moderation in that rate over time? Just trying to figure out how much juice is left to squeeze, just from internal initiatives. Thanks.
Chris Smith: So I'll hit it high level, but I'll let Jeff kind of walk through because there are like really three main levers, but I think, look, one of them, obviously, has been mixed around NGS, and this is the first quarter as you know, we've kind of come out and disclosed the growth on NGS, and the amount of revenue, and look, at being only 25% the clinical revenue, it gives us lots of runway because of where the ASP is. And so that mix, we're able to continue to manage, especially as we expand the sales force, and continue to expand our presence with the oncologists versus just pathologists and hospitals. But, Jeff, do you want to kind of talk through the levers in the way because I know you, and the team, and Warren spend a lot of time there?
Jeff Sherman: Yeah. If you go back to 2021 and 2022, our revenue per test was growing anywhere between 2% and 7%. We've clearly seen an uptick in 2023 with our revenue per test, with our NGS growth now averaging almost 10% for the year. So, I think we're going to continue to stay focused on growing NGS, and expect to continue to see growth over time in revenue per test. I'm not sure I would extrapolate 12% in one quarter over time, but I think we continue to expect to see growth. And then, I think there's two other areas that we have focus initiatives on. The first is our revenue cycle, just collecting more for the work we're currently doing. We've seen good improvements in that for the year, and I think we actually have, a multi-year opportunity there. And then, the last area is just price. We are seeing price increases with our direct client bill contracts, and we're working on taking a more coordinated approach with our managed care pricing as well. And this is an area where we think dedicating some resources, and some talent is going to help drive our revenue. So, I think as we stand back, and look at we've had very strong growth this year, but we still see, I think, a multi-year opportunity to see revenue per test grow over time.
Chris Smith: Yeah. So, I think from a durability perspective, we see that continuing to run for the next several years.
Andrew Brackman: Okay. That's perfect. And then, appreciate you guys actually giving that color on sort of the NGS mix here. I wanted to ask on the non-NGS side, because I think by math, you guys put up growth, call it in the low-teens and mid-teens in the quarter. Can you maybe just talk about the durability of growth in that category as well, just as we look at those more traditional tests? Thanks.
Chris Smith: Well, I think, look, I would say that a couple of things are impacting that. One is, look, I would say and we shared this pretty publicly starting at the end of last year, that we are winning much more now than we're losing. So, we're moving share, and moving share is, obviously, helping move modalities. And I think when you think about those modalities, they would grow, I guess, anywhere from probably 2% to 4%, would be normal market growth rates. We're growing faster than market in every single one of our modalities. But in addition, what Jeff just talked about, this whole strategy that we're having around revenue cycle management doesn't just help with NGS, but it helps across the board. And so, that's helping us from a revenue perspective in all those modalities. So, we're seeing really nice growth there, and I think that's -- look, we still -- when you look at the whole market, there's still lots of runway, where, from a market share perspective, where we believe that we can -- we can only -- not only win new accounts, but also expand, and I think, Warren, and he's here so we can throw it to Warren, but I think one of his strategies hasn't been just go win new accounts, but go into your current accounts we don't have a business and start moving share there, but Warren, is there anything else?
Warren Stone: I think that probably the high level of Chris is that, ultimately, it's commercial strategy that we're executing again. So, we're losing less than what we have in the past. That's the fundamental for us to build on.
Chris Smith: And winning more.
Warren Stone: And expanding share of wallet is, obviously, significantly easier with existing customers. And we've actually been really, really effective. Yeah, that's been probably our area of largest growth. And then, on the -- yeah, it's, obviously, winning new customers, which is, as we've expanded our sales resource because that's another area that we focus in on, and we feel that a lot of the ones that we've secured in 2023 will annualize in 2024, which, obviously, provides some tailwind as we move into next year. But it's really effective execution of the strategy, which is driving above-market growth of these other modalities.
Chris Smith: And then, I think, that we will clearly see a correlation between improved turnaround time and sales growth as well, so as our operational efficiencies continue to improved, it's helping us drive incremental volume.
Andrew Brackman: Okay. That was great. Thanks, guys.
Chris Smith: Thanks, Andrew.
Operator: The next question comes from Alex Nowak with Craig-Hallum. Alex, Please proceed.
Chris Smith: Hey, Alex.
Alex Nowak: Okay. Great. Good afternoon. Hey, good afternoon, everyone. Really strong NGS gains as we've talked about here so far in the call. The company lost market share in NGS, and the molecular business over the last couple of years, really, before the new team has joined. So, is this really taking back market share from those gains that were lost, or is this better penetration of NGS into your existing customers that maybe haven't used NGS to the full extent?
Chris Smith: I would say yes, I mean, it's really both. I mean, I think, would you -- we have the market growing 15% to 20%. So, when we're growing 35% plus, not only we're growing with the market, but we're moving share. So, it's really a combination of both.
Alex Nowak: Okay. Got it. And then the breast MolDx re-submission here, Is that going to be to grant a broader MRD and recurrence label versus the five-year recurrence label we have today?
Chris Smith: Let me -- let Vishal kind of take that one to talk about what's going on with our products at MoIDx.
Vishal Sikri: Yeah. So that is correct. It's going to be an expansion to our current approval that we have from MoIDx, both in the recurrence and surveillance mix.
Alex Nowak: Very easy. Excellent. Thank you.
Chris Smith: Thank you.
Operator: Up next, we have David Westenberg with Piper Sandler. David, please proceed.
David Westenberg: Hi. Thank you.
Chris Smith: Hey, David.
David Westenberg: Hi, guys. Thank you for taking the questions and congrats on a really good quarter. So, I mean, I appreciate all the commentary on the NGS growth. The ASP left, I mean, it was really big and so I want to actually just cut in, in a little bit more into that life -- revenue cycle management piece. I mean, I don't know if you can quantify it, but kind of help us frame the size of that lift, how much meaningful, what is there to chop in terms of revenue cycle management, and then just maybe even in this quarter, was there any one-time in this quarter from that revenue cycle management, just to be aware of as we're modeling ASPs because I think you beat the Street by like $40 or something like that in the quarter.
Chris Smith: Yeah. Let me maybe take it a couple ways, and let Jeff, kind of get into the details. So, we haven't disclosed how much the opportunity is, but when we build, the way we've thought about the business over the next, several years, there's opportunity to continue to move that out. And, David, I think we may have even talked about this when we met in San Francisco, that being new to the industry, I am incredibly surprised that just general how bad the industry is getting paid for the work that we do. And I think, we believe that reimbursement, and billing should be a core competency of the company. So. we're spending a lot of time resources and energy, I would say doing innovative things that we think will significantly improve our ability to get paid for what we do, but Jeff, do you want to give more…
Jeff Sherman: Yeah. From an overall NGS perspective, look, I think roughly 60% plus of the revenue per test is driven by just NGS, mix and price within NGS, and then the balance would be revenue cycle initiatives, and other modalities that we're seeing growth in. And so, again, with that relatively low penetration percentage of our total clinical revenue, and our continued focus on driving that, we do see an opportunity to continue to drive that. Again, I wouldn't extrapolate one quarter, but we've got 10% revenue per test year to date, and it has clearly stepped up from where we've been, the previous eight to 10 quarters before that.
David Westenberg: Got it. And just real quick one -- well, maybe it's not really that quick, but just thoughts on PAMA, if and when it returns, I wish to think about that for '24, '25, in terms of our model? Thank you.
Chris Smith: You want to take that, Warren?
Warren Stone: Yeah. I mean, if and when it returns, I mean it's difficult to actually understand exactly how it will impact. Certainly, some of the lower value modalities is certainly where some of the cuts are isolated at the end of the day. As we look forward into the future, we don't see that has a material impact to job performance. Certainly, if it does materialize, it will be a marginal headwind to AUP, but nothing too material because it is with the lower value modalities that are in focus.
David Westenberg: Thank you.
Chris Smith: Thanks, David.
Operator: Okay. The next question comes from Tejas Savant with Morgan Stanley. Please proceed.
Madison Pasterchick: Hi. This is Madison Pasterchick on for Tejas. Congrats on the strong quarter. Just looking at the guide and what it implies for fourth quarter, could you maybe give us some color on why you think about the sequential -- like, flat sequential growth for top line is a fair assumption for the quarter, and is there any conservatism baked into the guide? And what are you assuming on a budget flush there for pharma at the midpoint?
Chris Smith: Yeah, lost you in the middle part of your question. Can you say that last one -- Jeff, did you get her. I lost you in the middle. Can you say that again? You were talking about the conservatism in the guide, but…
Madison Pasterchick: Yeah. Just wondering what kind of conservatism is built into the guide for the fourth quarter, and if you're assuming kind of any budget flush, just looking at, it looks about flat sequentially from third quarter, fourth quarter, so trying to parse out some color there.
Jeff Sherman: Yeah, I mean, the midpoint is roughly flat, but it is a range of performance for Q4. So, I wouldn't call on anything, unusual in Q4. We expect to see, continued improvement as we have throughout the year, but clearly as we think about, guiding for Q4, wanted to give a range that we thought made sense.
Madison Pasterchick: Got you. That makes sense. And anything you're assuming there on the budget flush?
Chris Smith: The what?
Warren Stone: Budget flush.
Chris Smith: I'm not sure what you mean by budget flush.
Madison Pasterchick: Okay. Within biopharma [Multiple Speakers]
Chris Smith: I'm sorry?
Madison Pasterchick: Sorry, I don't know if...
Chris Smith: Can you say that…
Madison Pasterchick: Yeah. I'll just move on to the next question.
Chris Smith: Okay.
Madison Pasterchick: Just, can you talk a bit about any conversations you've been having with biopharma customers, feedback you've been getting from them? And I know you talked a bit about the tougher macroenvironment in ADx, so any color there you've been seeing?
Chris Smith: Vishal, you want to take that?
Vishal Sikri: Yeah. I can take that. So, we do hear from our pharma customers that there is consolidation in terms of the number of clinical trials that they're running, number of compounds that they're focusing on. A lot of it was earlier on in the small biotech, but we're hearing this a little bit on the larger bio -- the larger pharma companies also. So, based off that, I mean, that's why we saw a little bit of a slowdown in Q3 compared to the previous quarter, and we do expect it to continue a little bit going into Q4 and early 2024, but we're hearing consolidation, especially when it comes to the programs that they're focusing on, the limited number going into 2024.
Chris Smith: And I think our broad menu of testing does help us…
Vishal Sikri: It does.
Chris Smith: Soften some of that impact, because we're not just focused on a couple of different single modalities.
Vishal Sikri: It's a small percentage of [indiscernible].
Chris Smith: Yeah. We talked a lot about the importance of a portfolio effect. I mean, having informatics, and pharma, and RaDaR, and clinical, if one of those slows down a little bit in the quarter, even though you see good long term opportunities, the others covered, and I think that's what you really saw here in the quarter.
Madison Pasterchick: Got you. That's really helpful. Thank you.
Chris Smith: Thanks.
Operator: The next question is from Mike Matson with Needham. Mike, please proceed.
Chris Smith: Hey, Mike.
Joseph Stringer: Hey, everyone. Hey, this is Joseph on for Mike. Congrats on the quarter. Maybe just a couple around RaDaR, I'll try to just put this onto one, but for breast, looking just, at the expanded coverage, do you think that timeline could be a little bit quicker than the other two submissions, just given that you've already had, dialogue with them in a previous submission? And then, just a reminder, I know you guys said it before, but under the current reimbursement profile for breast that you guys have about what percentage of that, potential MRD volume for breast cancer patients is there with that, current reimbursement? And then, just, looking at the other three submissions that you guys announced, can you maybe just talk about your confidence on those submissions, if you have enough evidence with those? I know, you guys, didn't necessarily get awarded for colorectal. You're looking at more evidence for that. Maybe could you put a timeline of, when you're expecting that submission, if it could be by the end of the year?
Chris Smith: Okay. That's a lot of questions, a lot in one there.
Joseph Stringer: Yeah, my bad.
Chris Smith: Good way to ask [indiscernible]. So, I would say that we do expect a faster timeline on the breast -- on the expanded breast compared to what we saw with the colorectal as an example. We -- we're able to go out and get the initial breast indication, and we believe that we have a relatively good handle as what is expected by MolDx now. On the terms of the number of MRD coming from breast cancer patients versus our current submission, we haven't broken it down by type of cancer so far. So, I think we're going to leave it at that. But we, obviously, focus a lot on breast cancer because of our high sensitivity of value proposition that you need in breast cancer. Confidence in the other submissions. I think, for head and neck and for lung, as we've mentioned, we've submitted. One of the big things that we had with colorectal -- that we did not have with colorectal that we do with these submissions, our publications, that we feel are strong, and we -- feel will add a lot of value, especially when it comes to patient care. So, we've utilized those as part of our submissions. And in CRC, at this point, we're probably looking at something, but CRC in 2024, and not in 2023. I think I captured all of those.
Joseph Stringer: Okay. Thanks. Yeah. Those are everything [Multiple Speakers] yeah, that was great. I'll just do one more quick one then on RaDaR, and it will just be a single question. I guess just looking into 2024, maybe this time next year, in 2024, you could have RaDaR clinically in multiple different cancers. I was just wondering if you could kind of frame up, maybe the gross margin for those. I guess the high bar, the low bar, what type of gross margin you could -- gross margin improvement you could see from these tests as they, start to ramp clinically?
Chris Smith: Yeah. I admire you trying to get that question, but we, obviously, haven't given guidance for '24. And look, it's early days with RaDaR. So, I think -- look, I think, what we believe it's important to get coverage, and the way to get coverage is to make sure you're running the right clinical trials and getting those published. So, look, this is the first time we ever talked publicly about how many ongoing clinical trials we have -- to give colors, or there's a lot going on with RaDaR. So, I think as that starts to come to fruition, we’ll update you, but we're not giving any kind of financial guidance around gross margins or anything on RaDaR for next year.
Joseph Stringer: Okay. Sure. Fair enough. Well, congrats on the great quarter you guys.
Chris Smith: Thank you.
Operator: The next question comes from Tom Stevens with TD Cowen. Tom, please proceed.
Tom Stevens: Hey, all. Massive quarter, congratulations. I had sort of quick one, again, just to kind of beat the dead horse on your kind of CGP portfolio and kind of just where you're winning there. I mean, you talked about operational efficiency, you talked about, more specialist sales force. Is it as simple as fast turnaround times, and being in front of conditions, or is it something more going on?
Chris Smith: Well, I think, there's a lot of things at play. I mean, I think a lot of these fit under our sales optimization strategy and our focus. And as you know, we started adding field people towards the end of last year, and then ended this year to start to focus more on community oncologists because we have been pretty heavy on, the pathologist in the hospitals. I think that's definitely making an impact. We were really a non-player in solid till we launched a product in March. Takes the time to get the product moving, and look, we continue to be the heme leader, and we continue to bring new innovations out on the heme side. So, I think it's multiple things, but maybe let me give -- Warren can maybe give even a little more color around.
Warren Stone: I think the multiples things is exactly. It's a number of things acting in concert, and I think one of the first things I want to call out is the work we've done operationally from a turnaround time perspective, and we spoke about that in the call, but, obviously, with the importance of the NGS to overall performance, we give that extra focus, and we've done really well there from a turnaround time. I think the added resources in the field is the second factor here that's really contributing to the success. And then, thirdly, it's the execution of the sales strategy, I spoke about earlier, coupled with new products that we brought to market not only the CGP panel that we brought to market in March of this year, but also the new heme, the Neo Comprehensive that we launched earlier in quarter three. Those are all contributing. Just a number of factors and concepts that are sort of compounding on now that's driving the performance.
Tom Stevens: Wonderful. Yeah. So, I guess, I'll follow up with a two-parter there. I guess, just on the back of that, going into next year, should we expect these kinds of growth rates going into '24 within the NGS portfolio, given the number of launches in the sequence you've had this year? And then, just the second one, a bit unrelated is kind of, have you guys thought about, or outlined kind of the net gross margin benefit you get from this LIMS reorg?
Chris Smith: So, internally, we have. I mean, I think this LIMS was a huge project, and to give you an idea, even the planning of it took us several months to really get to a place where we felt good about it. We've carved it out of the business, so -- and given it dedicated resources to ensure that we're able to get the focus, and the execution, but when you've done five acquisitions over the time history of the company, and running on multiple, multiple LIMS systems, the inefficiency from a gross margin perspective is significant. As you know, when you put one of these in, it's like doing an ERP project, it takes time, so you're not going to see this, starting January 1, right. We believe we'll get some positive impacts starting in H1 of '24, but it really is an ongoing that we think we'll see, a four half to get -- say, or over a two-year period, we'll see continued impact on that.
Jeff Sherman: And then…
Chris Smith: Do you want add anything else?
Jeff Sherman: Just on the NGS growth, look, we continue to expect NGS is going to grow next year, but we'll give more color on that as we give our guidance going into next year.
Tom Stevens: Wonderful. Congrats on the quarter. I'll get back in the queue.
Jeff Sherman: Thank you.
Chris Smith: Thanks.
Operator: [Operator Instructions] Up next, we have Matthew Sykes with Goldman Sachs. Matthew, please proceed.
Chris Smith: Hey, Matt.
Prashant Kota: Hey, guys. This is Prashant Kota on for Matt. Congrats on the quarter and thanks for taking the question. So, do you -- could you clarify on the additional breast MRD submission? I know it's been talked about, but is that for triple-negative breast cancer?
Chris Smith: Vishal, go ahead.
Vishal Sikri: Hey, Matt. Yeah, it is for triple-negative breast cancer.
Prashant Kota: Got it. Okay. Thank you. And then, how much market share do you see RaDaR capturing over the longer term, given the competitive landscape?
Chris Smith: Well, look, I think the way to think about it, a lot of you all, right, the market, the analysts have been writing that it's a $20 billion market, and less than 1% or 2% penetrated. So, there's a lot of lot of runway. I mean, obviously, there's a company in front of us, there's multiple companies coming out, but, look, I would not say that we're publicly disclosing, with the shares. I would say, look, what we're seeing is our sensitivity is significant, and we're seeing that really makes a difference in disease cancer states where sensitivity matters, places like breast, lung, etc. So, I think it's just too early to try to speculate how the share will all wake up, but look, big, big market with lots of opportunity.
Prashant Kota: Got it. And just lastly, any color on the sales force expansion?
Warren Stone: Yeah. So we've continued to expand our sales force in the latter part of Q3 and into Q4. A lot of the work we're doing in full transparency really culminates into the sort of redeployment that we're kicking off very early in 2024 that will position us to continue the momentum that we've experienced in 2023 thus far.
Prashant Kota: Got it. Thanks guys.
Operator: The next question comes from Mason Carrico from Stephens. Please proceed.
Jacob Krahenbuhl: Hey, guys. This is Jacob on for Mason. Thanks for taking the question. Congrats on a strong print. So, I appreciate all the color on the NGS growth, lot's been covered there, but maybe just taking a little bit deeper in there, could you talk about how the growth trended during the quarter in NGS across heme versus solid tumor?
Chris Smith: So we filled all our NGS kind of together, so we don't break out what's heme or solid. So, I think we've been pretty open publicly that we're really a non-player in solid until we launched our new -- our new panel in March, but we don't disclose which -- how much is heme, or how much of it…
Jeff Sherman: And we don't really talk about inter-quarter performance either.
Chris Smith: Yeah.
Jeff Sherman: So, we'd prefer to just talk about in quarterly increments.
Jacob Krahenbuhl: Okay. Yeah. Thanks for that. So…
Jeff Sherman: It's really our competitive reasons. It's not that we don't want to give any color, but look, it's a highly competitive place, and I think we're really pleased with where things are going, and we just from a competitive perspective, don't disclose that.
Jacob Krahenbuhl: Yeah. No, that makes sense. So on that new test you launched, Neo Comprehensive, it's been out there in the market for a little bit now. Could you maybe talk about how adoption trended, and maybe more specifically, do you think you're converting docs away from competing offerings that have been on the market for a little bit, or do you think the majority of the growth is just coming from broader market expansion?
Warren Stone: Yeah. It's combination of both. There are certainly many cases that we could cite where there's been conversions that we've managed to accomplish, and other cases we had broader market expansion because of the growth in the market that we're actually benefiting from. So, it's a combination of both. And yeah I reiterate the fact that the investment from the sales team spectrum is really what's helping heme.
Chris Smith: I think that's helped a lot. And don't -- one of the things that's always been a strength of Neo has been the community setting. So, think about the community oncologists. A lot of them, there's a lot of our competitors who are living primarily in university, or research institutions, and so our ability to continue to penetrate the community ecologist is a key factor to our growth. I mean, a lots and lots and lots of treatments going on in the community.
Jacob Krahenbuhl: Got it. And then, if I can just squeeze in one final one here, on your commercial sales team, you talked about how you're continuing to expand in Q3 and Q4, but I think you previously mentioned that you really don't materially -- plan on materially scaling that team in 2024. Is that still the plan, or have your thoughts changed there?
Warren Stone: Yeah. I think most of the investments that we're going to do from a commercial expansion perspective are happening at the very back end of this year, and it may -- some of it may roll into Q1, but it's all part of the larger plan for 2024. And those resources really focused in terms of customer-facing, but also putting -- investing in the back office to ensure better enablement because this is where we're going to drive the productivity improvements of the sales team, which are going to allow us to sort of do more with the existing team that we have. So, that's going to help to negate the need for further investment, certainly in 2024, but we'll reevaluate that later, probably this time next year in terms of what we want to do for 2025.
Jacob Krahenbuhl: All right. That makes sense. Thanks, guys.
Chris Smith: Thank you.
Operator: The next question comes from Puneet Souda with Leerink Partners. Please proceed.
Puneet Souda: Yeah. Hi, guys. Hey, Chris, thanks for taking the question. So maybe at a high level, and apologize if this was covered, but I wanted to get your view on the revenue cycle management has been a big focus. Obviously, you're seeing improvement here in AUP that is remarkable. So, maybe can you talk about where you are in that revenue cycle management transformation process, how far it's done, and sort of what's left to go? Maybe just talk about that at a high level if you could?
Chris Smith: Yeah, Puneet. I know it's a busy day with the markets close. We did cover some of that early, but we're happy to jump back into it. Look, I think one thing we talked a lot about is our mix, and by NGS being, 20%, 25% of the clinical revenue, lots of runway. And so, obviously, higher ASPs, et cetera, but what Jeff did kind of dive into a little bit more, where the other levers, do you want to talk about it? I mean, we did talk about revenue cycle is a multi-year strategy as we kind of looked at it, but do you want to give--
Jeff Sherman: I would say we're still in the early phases of capitalizing on the opportunity and revenue side, Puneet. And what I said earlier on the call was, roughly about 60% plus of our improvement in revenue per test was driven by NGS mix, and the balance was pricing, revenue cycle improvements, and some mix in our other testing volume. But as we think about what we're expecting to get paid, and what we are getting paid, we still see room to improve there, and it's not a one quarter or a two-quarter process. I think it's a multi-quarter process. We want to use technology more efficiently, to make sure we're being efficient, making sure we're getting prior authorizations, making sure that we have a medical necessity covered, medical records covered. So, there's a lot of different drivers, and frankly, varies by payer, where the opportunity exists, but I think we have a good handle on where we're not being paid, and have plans in place to close that gap.
Chris Smith: Do you want to talk a little bit about contracting? We have like 200 payer contracts, but how'd you talk to managed care runway?
Jeff Sherman: Yeah. So managed care was another area. Just pricing -- we also have a pricing lever, which is from our direct line bill, where we can do pricing, and that's about 65% of our clinical revenue. The remaining third is managed care contracting, and we've added resources to really go after in a more coordinated, sophisticated way pricing improvement in our -- on our managed care side of the business. So, it's multifaceted, and that's why we think we have -- we're we still have room to run over the next, couple of years in this area.
Puneet Souda: Got it. Super. That's -- thanks for all the insights there. And then, one more on, labor inflation was a bit of a concern early on. And then, cost of goods was a concern, continues to be a concern for some of the labs, but just maybe -- just talk to us overall about labor costs, and inflation that you're seeing. And do you see, the layoffs among the biotechs, and some of the diagnostics companies out there, potentially giving you an opportunity in the hiring landscape, to address some of those concerns in the market? Thank you.
Chris Smith: Well, look, I definitely think when some companies have gotten out over their skis, and they do some type of change from a financial perspective, we definitely look for great teammates. I mean, I think our people are our greatest asset, so I think anytime we can add there. I think the other thing that's really helped us is we're pretty diverse on where we are. I mean, we have wet labs in Houston, in Orange County, and Fort Myers, and Raleigh. And so, I think that we feel incredibly good about the labor pools in those markets, and our ability to attract and keep great talent. So, we have not seen a big impact. Look, I will say that, our view is that we want to make sure that we hire the best, and we pay them fairly, but I wouldn't say that we've had a big impact. The one thing, and again, this came out of my pre-remarks is that, we really -- Neo didn't really spend a lot of time around purchasing and procurement, and we spent, as you can imagine, millions and millions and millions of dollars, and so one thing that has changed over the last six months, we bring in a chief procurement officer, and our ability to put some systems in place that we think allows us to do a much better job of managing the purchasing side of the business.
Puneet Souda: Got it. Okay. Super. I think all the RaDaR questions are covered, so I'm good. Thank you.
Chris Smith: All right. Thanks so much.
Operator: Okay. We have reached the end of the question-and-answer session. I will now turn the call over to management for any closing remarks.
Chris Smith: Okay. So for the folks, who are still on, look, we really appreciate you taking the time. It was a busy day in our sector, and the market, so thanks for hanging in there with us and learning a little bit about what happened in the Q3, and look, we'll look forward to coming back to you with the Q4 results sometime after the first year. Until then, take care.
Operator: Thank you. This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.